Operator: Good morning, and welcome to the 2022 Fourth Quarter Earnings Conference Call, hosted by BNY Mellon. [Operator Instructions] I will now turn the conference over to Marius Merz, BNY Mellon, Head of Investor Relations. Please go ahead.
Marius Merz: Thank you, operator, and good morning, everyone. Welcome to our fourth quarter 2022 earnings call. As always, we will reference our financial highlights presentation, which can be found on the Investor Relations page of our website at bnymellon.com. I'm joined by Robin Vince, President and Chief Executive Officer; and Emily Portney, our Chief Financial Officer. Robin will start with introductory remarks, and Emily will then take you through the earnings presentation. Following their remarks, there will be a Q&A session. Before we begin, please note that our remarks include forward-looking statements and non-GAAP measures. Information about these statements and non-GAAP measures are available in the earnings press release, financial supplement and financial highlights presentation, all available on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, January 13, 2023, and will not be updated. With that, I will turn it over to Robin.
Robin Vince: Thank you, Marius. Good morning, everyone, and thank you for joining us. Before Emily takes you through our quarterly results, I'd like to make a few broader comments on our performance in 2022 and on some areas of focus for 2023. As you can see on Page 2 of our financial highlights presentation, we reported earnings per share for the full year of $2.90, down 30% compared to the prior year, and a return on tangible common equity of 13%. Excluding the impact of notable items, we reported earnings per share of $4.59, which was up 8% year-over-year, and a return on tangible common equity of 21%, reflecting our solid underlying performance against the backdrop of a complex operating environment in 2022. Our results this year included several notable items; for example, those related to Russia in the first quarter and the goodwill impairment related to investment management in the third quarter. And our fourth quarter results reflect the impact of a number of decisions that we made to improve our revenue growth and efficiency trajectory moving forward. Excluding notable items, revenues grew a little faster than expenses as we continued to see strength in client activity and volumes, while continuously positioning ourselves to derive meaningful benefit from the upward move in interest rates. Together, these factors more than offset the stiff headwinds from lower market levels. On the back of organic growth in AUC/A, we're continuing our role as the world's largest custodian, and we saw cumulative net inflows in assets under management. Beyond the numbers, I'd like to highlight a couple of areas where I'm particularly encouraged by our performance in 2022. First, our sales momentum, which speaks to the strength of our client franchise and our capabilities. In Asset Servicing, we continued to elevate our client dialogue, while maintaining a strong focus on service quality to support our clients through a difficult environment. Sales wins increased off a strong 2021, and we're winning larger and higher value deals, which is where the elevation of client dialogue matters. In ETFs, AUC/A reached $1.4 trillion, as we saw strong net inflows throughout the year and the total number of funds serviced rose by 12%. And in Alts, we grew AUC/A by 14% and fund launches were up by over 25%. Treasury Services delivered strong broad-based growth throughout 2022. In the fourth quarter, we announced a collaboration with Conduent to be their trusted payments infrastructure provider as they launch a digital integrated payments hub for businesses and the public sector. This hub will enable access to more secure, faster and cost-effective options to send, request and receive payments and refunds in a matter of minutes using real time payments and other proven payment technologies. And we also onboarded several new clients during the quarter as we continued to build our digital payments and related FX businesses. And finally, while 2022 was no doubt a difficult environment for the wealth market, our Wealth Management business acquired more clients with particular strength in the ultra-high net worth and family office segments, and we continued to deepen existing relationships through our expanded banking offering where the percentage of advisory clients who also bank with us rose by about 5 percentage points. Notwithstanding the tough backdrop, Pershing, which is, in fact, our largest play as a company in the wealth space, brought in net new assets of over $120 billion, representing 5% growth. In the fourth quarter, we announced two very exciting wins, demonstrating the broad-based capabilities that Pershing is uniquely positioned to offer. The first was State Farm, which is an exciting relationship given State Farm’s size and reach with its thousands of agents across the country serving tens of millions of households. And we also onboarded Arta Finance, which was founded by a team of former Google executives, who are now leading a global digital family office that uses advanced technologies to empower investors with tools to invest intelligently. This win is an important proof point of our proven set of APIs and digital capabilities and demonstrates our ability to win with tech forward clients. The second area of performance I'll call out is that we continue to forge ahead with our longer-term growth initiatives, such as Pershing X, real-time payments, the reimagining of custody and collateral, and digital assets. These initiatives will help position the company for the next leg of growth beyond the medium term. We went live with our digital asset custody platform in the U.S. in October. And as I highlighted in my op-ed in the Financial Times a month ago, this will continue to be a focus for us, not so much for crypto, but really the broader opportunity that exists across digital assets and distributed ledger technology. If anything, the recent events in the crypto market only further highlight the need for trusted regulated providers in the digital asset space. We are also now live with our first release at Pershing X, just one year after launching the initiative. This release to a small number of select clients includes three core products: Portfolio Solutions, including direct indexing; Client Servicing; and Data and Reporting tools. But equally importantly, this release is about our ability to set a goal on a tight timeline and execute. Finally, the third and probably most important highlight of the year for me is our people and our systems, once again, demonstrated remarkable resilience. Across the war in Ukraine, the extraordinary moves we saw in several government debt markets and volume surges, the operational readiness of our people and our systems consistently enabled successful outcomes for our clients. I cannot thank our people enough for their hard work and dedication to serving our clients. While we're proud of these accomplishments, it's also important to humbly recognize an area where we fell short this past year, acknowledging the inflationary headwinds, expense growth for a second straight year was around 5% ex notables. We consider that number too high, especially considering the expense growth benefited from a stronger U.S. dollar throughout the year. On a constant currency basis, expense growth ex notables was approximately 8%. While I'm encouraged by the renewed sense of urgency across the organization over the last few months to better manage our expenses, we still have ways to go on this journey, which brings me to our key focus areas for 2023. First, expenses. My leadership team and I are fully committed to bending the cost curve this year. That will come from instilling further expense discipline across the firm and from focusing more on profitable new business growth, saying no to more things when the economics aren't what they should be. Efficiencies are also going to come from implementing ideas that will make BNY Mellon a simpler, more efficient place to do business with. And so here, we've embarked on an enterprise-wide initiative, led by senior leaders and high-performing employees from around the world focused on driving greater efficiency and enabling sustainable growth. No one knows the ins and outs of our products, services and processes better than our people. And so, all of our staff have had the opportunity to take an active role in this initiative by submitting ideas for how we can run the company in a better way for all our stakeholders. To date, we've approved about 1,500 high quality ideas, of which about 200 are already completed and another 500 are on track to be implemented this year with a meaningful amount of these ideas requiring little upfront investment. Emily will cover this in more detail, but as a result of these initiatives and our renewed determination, we expect to achieve nearly double the amount of efficiency savings this year compared to what we achieved in any of the recent years. But our priorities are, of course, not just about managing expenses. We are also focused on reinvigorating profitable growth. Our project commits to achieving positive underlying growth this year across almost all of our businesses, with particularly healthy growth coming from Asset Servicing, Pershing and Treasury Services. We will continue full speed ahead with our critical long-term growth investments that I mentioned earlier with clear and specific targets that we expect the teams to hit over the course of the year. Lastly, on the top-line, our priorities include goals for our ONE BNY Mellon program, which incentivizes cross business referrals and development of innovative, multi-business solutions that only BNY Mellon's unique collection of businesses is equipped to provide. In 2022, we saw good initial momentum and we surpassed our initial goal for the year, and we intend to deliver a further pickup in 2023 as we increasingly sell our platform and better connect the dots for our clients. Finally, on capital management, I'll highlight that our Board of Directors has authorized a new $5 billion share repurchase program, which provides us ample flexibility, and having ended the year comfortably above our capital management targets, we're now resuming buybacks. And so, in summary, while none of us can predict exactly what the operating environment will look like in 2023, we are laser focused on growing the franchise and executing against our efficiency plans with discipline and urgency to drive some positive operating leverage in 2023, while returning a healthy amount of capital to our shareholders this year. With that, let me turn it over one last time to Emily as our CFO.
Emily Portney: Thank you, Robin, and good morning, everyone. As I walk you through the details of our results for the quarter, all comparisons will be on a year-over-year basis, unless I specify otherwise. Starting on Page 3 of our financial highlights presentation. Total revenue of $3.9 billion in the fourth quarter was down 2% on a reported basis and up 9% excluding notable items. As Robin mentioned earlier and as you can see at the bottom of the page, our reported results in the fourth quarter included a few notable items resulting from actions to improve our revenue and expense trajectory. Reported revenues included approximately $450 million of net securities losses recorded in investments and other revenue, resulting from a previously disclosed repositioning of our securities portfolio, which I will expand upon later. Fee revenue was flat, as the benefit of lower money market fee waivers and healthy organic growth across our Security Services and Market and Wealth Services segments was offset by the impact of lower market values from both equity and fixed income markets and the unfavorable impact of a stronger U.S. dollar. Firm-wide assets under custody and/or administration of $44.3 trillion declined by 5%. The headwind of lower market values and currency translation was tempered by continued growth from both new and existing clients, and assets under management of $1.8 trillion decreased by 25%. This also reflects lower market values and the unfavorable impact of the stronger U.S. dollar, and again, this headwind was partially offset by cumulative net inflows. Investment and other revenue was negative $360 million in the quarter on a reported basis. Excluding notable items, investment and other revenue was a positive $100 million, a good result reflecting another quarter of strong fixed income trading performance. And net interest revenue increased by 56%, primarily reflecting higher interest rates. Expenses were up 8%, or 2% excluding notable items. Notable items amounted to approximately $200 million in the quarter, primarily severance expenses. And provision for credit losses was $20 million, primarily reflecting changes in the macroeconomic forecast. On a reported basis, EPS was $0.62; pre-tax margin was 17%; and return on tangible common equity was 12%. Excluding the impact of notable items, EPS was $1.30, up 25% year-over-year; pre-tax margin was 31%; and return on tangible common equity was 24%. Touching on the full year on Page 4. Total revenue grew by 3% on a reported basis and by 6% excluding notable items. Fee revenue was flat. Investment and other revenue was negative $82 million, or positive $340 million excluding notable items. And net interest revenue was up 34%. Expenses were up 13% on a reported basis and up 5% excluding notable items, consistent with our goal to drive 2022 expense growth towards the bottom half of the 5% to 5.5% range that we guided to throughout the year. Excluding the benefit from the stronger U.S. dollar, expenses ex notables for the year were up 8%. Provision for credit losses was $39 million compared to a provision benefit of approximately $230 million in the prior year. On a reported basis, EPS was $2.90; pre-tax margin was 20%; and return on tangible common equity was 13%. Excluding the impact of notable items, EPS was $4.59, up 8% year-over-year; pre-tax margin was 29%; and return on tangible common equity was 21%. On to capital and liquidity on Page 5. Our consolidated Tier 1 leverage ratio was 5.8%, up approximately 35 basis points sequentially, primarily reflecting capital generated through earnings, the sale of Alcentra and an improvement in accumulated other comprehensive income, partially offset by capital returned through dividends. Our CET1 ratio was 11.2%, up approximately 120 basis points, driven by the increase in capital and lower risk weighted assets. And finally, our LCR was 118%, up 2 percentage points sequentially. Turning to our net interest revenue and balance sheet trends on Page 6, which I will also talk about in sequential terms. Net interest revenue of $1.1 billion was up 14% sequentially. This increase primarily reflects higher yields on interest-earning assets, partially offset by higher funding costs. Once again, NIR in the quarter exceeded our expectations as noninterest-bearing deposits remain elevated. Average deposit balances decreased by 2%. Within this, interest-bearing deposits increased by 2% and noninterest-bearing deposits declined by 11%. Despite this decline in the quarter, the share of noninterest-bearing deposits as a percentage of total deposits has held up better than expected at 27%, which is higher than historical averages. And we continue to actively manage our deposit footprint to optimize across NIR, liquidity value and return on capital. Average interest-earning assets remained flat. Underneath that, cash and reverse repo increased by 4%, loan balances were down 1%, and our investment securities portfolio was down 3%. As I mentioned, in the fourth quarter, we took actions to reposition the securities portfolio to improve our NIR trajectory for the coming years. We sold roughly $3 billion of longer-dated lower-yielding municipal and corporate bonds, which we've been replacing with significantly higher-yielding securities earning roughly 5% or 250 basis points to 300 basis points more than what we were earning on the securities that we sold. While we realized an approximately $450 million pre-tax loss with this sale, this transaction was virtually capital neutral because the unrealized loss was already recognized in AOCI. In fact, we freed up roughly $150 million of CET1 capital as a higher credit quality replacement portfolio consumes significantly lower RWA. Moving on to expenses on Page 7. Expenses for the quarter were $3.2 billion, up 8% year-over-year. Excluding notable items, expenses were up 2% year-over-year. This year-over-year increase reflects investments, net of efficiency savings, higher revenue related expenses, including distribution expenses, as well as the impact of inflation, partially offset by the benefit of the stronger U.S. dollar. Turning to Page 8 for a closer look at our business segment. Security Services reported total revenue of $2.2 billion, up 18% compared to the prior year. Fee revenue increased 2% and net interest revenue was up 79%, driven by higher interest rates, partially offset by lower balances. As I discuss the performance of our Security Services and Market and Wealth Services segment, I will focus my comments on investment services fees for each line of business, which you can find in our financial supplement. In Asset Servicing, investment services fees were down 1% as the impact of lower market values and a stronger U.S. dollar were mostly offset by the abatement of money market fee waivers, higher client activity and net new business. In Issuer Services, investment services fees were up 7%, driven by the reduction of money market fee waivers and higher depositary receipt issuance and cancellation fees. Next, Market and Wealth Services on Page 9. Market and Wealth Services reported total revenue of $1.4 billion, up 19%. Fee revenue was up 14% and net interest revenue increased by 33%. In Pershing, investment services fees were up 22%. This increase reflects lower money market fee waivers, higher fees on sweep balances and higher client activity, partially offset by the impact of lost business in the prior year and lower market levels. Net new assets were $42 billion, reflecting a very healthy level of growth from existing clients, while flows related to dividends and year end capital gain distributions were naturally more muted than in the prior year quarter. And average active clearing accounts were up 4% year-on-year. In Treasury Services, investment services fees were flat. The benefit of lower money market fee waivers and net new business was offset by the negative impact to fees from higher earnings credit on the back of higher interest rates. And in Clearance and Collateral Management, investment services fees were up 6%, primarily reflecting higher US government clearance volumes driven by continued demand for U.S. treasury securities due to elevated volatility and an evolving monetary policy. Now, turning to Investment and Wealth Management on Page 10. Investment and Wealth Management reported total revenue of $825 million, down 19%. Fee revenue was down 18% and net interest revenue was up 2%. Assets under management of $1.8 trillion declined by 25% year-over-year. This decrease largely reflects lower market values and the unfavorable impact of the stronger U.S. dollar partially offset by cumulative net inflows. As it relates to flows in the quarter, we saw $6 billion of net outflows from long-term products and $27 billion of net inflows into cash. Among our long-term active strategy, liability-driven investments continued to be a bright spot with $19 billion of net inflows in the quarter, a real testament to our market-leading capabilities and resilient performance during the recent market dislocation. A very healthy net inflows into our cash strategies come on the back of strong investment performance, most notably in our Dreyfus money market funds. In Investment Management, revenue was down 22% due to lower market value and mix of cumulative net inflows, a stronger U.S. dollar and the sale of Alcentra partially offset by lower money market fee waivers. And finally, in Wealth Management, revenue was down 12%, primarily reflecting lower market values. Client assets of $269 billion were down 16% year-over-year, primarily driven by lower market value. Page 11 shows the results of the Other segment, where investment and other revenue includes the net loss and the repositioning of the securities portfolio and expenses include severance. Now let me close with a few comments on how we're thinking about 2023. With regards to NIR, we have positioned ourselves for another year of healthy growth. And so, we currently project an approximately 20% year-over-year increase for the full year and that assumes current market-implied interest rates. Having said that, the range of potential outcomes remains relatively wide and the quarterly trajectory of NIR will be dependent on various factors, including the path of deposit levels and mix, as well as interest rates. As it relates to fees, as you know, market-driven factors like equity and fixed income market levels, currency and interest rates dominated fee dynamics in 2022, while underlying growth across Security Services and Market and Wealth Services was offset by headwinds in Investment and Wealth Management. For 2023, we expect to return to some underlying fee growth for the firm. Now, Robin talked about the work we've been doing over the last few months to bend the cost curve, while making sure we're continuing to invest. For 2023, this translates into expenses, excluding notable items, increasing by approximately 4%, assuming exchange rates remain flat to where they ended 2022 or by approximately 4.5% on a constant currency basis. This compares to 8% in 2022. And then, on taxes, we expect our effective tax rate for the year to be in the 21% to 22% range, primarily due to an increase of the corporation tax rate in the UK this year. And finally, I want to close with a few remarks on capital management. As you saw, we ended 2022 comfortably above our management target. And our Board of Directors has authorized a new $5 billion share repurchase program, which provides us ample flexibility. As always, the timing and the amount of repurchases is subject to various factors, including our capital position and prevailing market conditions, among others. Based on our current expectation for continued earnings growth in combination with our estimated trajectory of AOCI pulling to par, we're now resuming buybacks and we’d expect to return north of 100% of earnings through dividends and buybacks in 2023. With that, operator, can you please open the line for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from Brennan Hawken. Your line is open. Please go ahead.
Brennan Hawken: Good morning. Thanks for taking my questions. First, congrats to Emily on your new role.
Emily Portney: Thank you.
Brennan Hawken: I'm sure you won't miss our earnings quarterly, but it was a real pleasure to work with you here these past few years. So, I'd love to drill down on the NII expectations. You indicated that it assumes current market rates, but maybe you could please walk us through some of the more specific drivers, primary assumptions and moving pieces that underlie that 20% growth assumption.
Emily Portney: Good morning, Brennan. And it's been great to work with all of you as well. So, if you think about the NIR outlook, the first thing I would just mention is that we use the forward curves to as a basis of our projection. So, we don't try to get cute. And as all of you know, for the Fed that assumes another 50 basis points of hikes in the first quarter, probably followed by a pause until the end of the year. The curves outside the US assume about 125 basis points to 150 basis points worth of hikes by both the BOE and the ECB. So, as a result of these curves and rising rates as well as, I would say, all of the actions that we've taken in the securities portfolio, and by that, I don't just mean the rebalancing that we did in December, but we, obviously, positioned the portfolio throughout the year, meaningfully shortening duration, adding floaters, et cetera, so with all of that, we do continue to expect to benefit from significantly higher reinvestment yields. Now tempering that a bit, we do expect deposits to decline modestly, call it, low to mid single digit from fourth quarter average. And finally, as it relates to marginal betas, we would expect them to continue to increase, but of course, more so for non-dollar balances. So that's really what's behind the 20% guide year-on-year. But I would also say there's a lot of uncertainty in the market and certainly, we're prepared for many different outcomes. It will be highly dependent upon deposit levels and there's some upside there if we retain more NIBs.
Brennan Hawken: Great. That's very helpful. Thank you, Emily. Capital accretion was really encouraging this quarter. You guys have the rather large buyback announced and you made some positive comments on it in your prepared remarks, Emily. So, how should we -- AOCI was really, I think, the source of the big surprise from my perspective. How should we be thinking about AOCI accretion if yields remain stable from here? What does that timeline look like?
Emily Portney: Sure. So, assuming the portfolio doesn't change and forward rates are realized. The latest -- our latest forecast would expect to recover probably close to 50% of the $2.5 billion of unrealized loss in the AFS portfolio over the course of, call it, 15 to 18 months.
Brennan Hawken : Okay. Excellent. Thank you very much.
Operator: Our next question comes from Alex Blostein. Your line is open. Please go ahead.
Alex Blostein: Hey, good morning, everybody, and Emily, congrats again. I was hoping we could start with a question around fixed income markets. There's generally a broad set of bullishness on the outlook for fixed income flows, particularly with respect to ETFs. I'm curious, as a very large servicer of fixed income assets, and you guys just kind of touched that whole ecosystem in multiple different ways, can you help us frame how BK's fees overall and servicing fees specifically could benefit from an improved outlook for our -- from fixed income flows, both mutual funds and ETFs? Is there a particular difference, when it's like inflows versus outflows? Just hoping to get a little more granularity as we think about the fee outlook for '23.
Emily Portney: Sure. So, just as we think about the fee outlook, what I would say is just our base case assumption is that there's a relatively soft landing in the U.S., so that would be average equity markets as well as fixed income markets are not that far off from what we've seen averages in 2022. You are correct that our money market platform does benefit that to a degree. Having said that, we do expect some modest runoff in balances as well in money market funds. And what I would also just highlight is that any strength in the fixed income market really does play to the strengths of our investment management business.
Robin Vince: Yes, Alex, I -- it's Robin. I would just add a couple of things to that. Just as you think across the breadth of our franchise, and Emily mentioned a couple of them, we have a lot of oars in the water on fixed income generally. So, our asset servicing business is fixed income heavy, that gives rise to a fixed income heavy, security lending business. We have a $1.3 trillion worth of cash on our investment platform. So that plays in the short end of the market, which obviously has an overlap with fixed income as well. We have our Dreyfus money market fund, which has done -- which has performed really quite well over the course of the year in terms of performance and asset gathering. We have our treasury business in terms of our clearance business. We have our treasury market repo business. So, we've got a lot of different opportunities that come from all of this, and we're obviously paying attention to all of them.
Alex Blostein: Got you. Great. Thanks. And then maybe just my follow-up on operating leverage in the business broadly, and you mentioned, Robin, a number of different efficiency programs that you have in place that sound like they're ramping nicely and just kind of incorporated in your expense guidance for this year. But when you sort of take a step back and assuming that short-term interest rates remain sort of range-bound or whatever the forward curve is forecasting, how are you thinking about the pre-tax margin for the firm as a whole over time? I'm not sure if you're ready to talk about those targets yet, but in the past, you guys were north of 30%. Is that ultimately the goalpost as you think about the ins and outs of your programs, but also what's going on in the top-line?
Robin Vince: So, you're right in that we're still working on it. I'm four-and-a-half months into my tenure. We've talked about the strategy reviews. They are ongoing. We've made some good progress. It's true on the business side. It's also true on the function and the support side as well, but we are focused. To your question on margin, we are focused on driving profitable growth which is top line, but with an eye to the bottom line and also just exuding expense discipline through doing the work. We think we've got a high-performing culture, but we continue to drive on things that relate to that. And I think when you look across revenue growth, pre-tax margins and ROTCE, you have the key metrics that we're really using. Now, we are considering a variety of different KPIs, and we look forward to giving you all more transparency on some of those KPIs as the year progresses. And so as we do the work, we're going to come talk to you about it.
Alex Blostein: Great. Thank you very much.
Operator: Our next question comes from Brian Bedell. Your line is open. Sir, please go ahead.
Brian Bedell: Great. Thanks. Good morning. [Technical Difficulty] great working with you over the years. Maybe you could talk a little bit shift gears a bit to a scenario in which we don't have a soft landing, let's say we do have a recession and a lot of pressure on markets. In that scenario, if we assume that there still is actually pretty good allocation to fixed income, which of course, you would benefit from, can you just talk about throughout your platform, to what extent you would expect to be resilient against that? And some of the areas I'm thinking of or even in deposits where deposit growth could outperform the expectations that you described, Emily? And then, if you could also just remind us on the fee revenue sensitivity to equity market declines? I think, it's 1% plus through every 10%, I think.
Emily Portney: Sure. So, a couple of comments there, and I think Robin will add on probably. So, just in terms of our sensitivity overall, our fee sensitivity to fixed income market. Just remember for every 5% or so gradual change in fixed income markets that impacts annual fee revenue to the tune of south $40 million. So that gives you some idea on how to size that. And then, certainly, as Robin pointed out earlier, we have many different businesses that ultimately would benefit from also strength in fixed income markets.
Robin Vince: But Brian, let me just add something else. One of the things that -- we're a trust bank, we often get obviously compared to trust banks, and I understand why. But we have a broader portfolio that I think is quite relevant in answer to your question, particularly, and they happen to be higher growth, higher margin businesses for us. So, things like Pershing, things like Treasury Services, our Clearance business, our Collateral Management business, and those really do contribute to the underlying diversification that we have as a firm. And that portfolio helps us with the stability of underlying revenues through different market conditions because they're essentially driven by different things, and so we get a balance for that. Now, on top of that, we're, of course, thinking about how to make sure that we are increasing the mix of the types of revenues that we have as well. So, yes, we have fees. Yes, we have net -- NIR, but we're also powered by transaction volumes, and we're also powered by subscription fees. And so, the combination of these diversification of the businesses and the diversification of the types of revenue streams, we think helps us quite a bit in these different market conditions, and that's why you've seen us, in fact, perform in an effective and relatively stable way through some pretty significant gyrations.
Brian Bedell: That's great color. And then, maybe, Robin, if you just want to continue on the growth initiatives that you've outlined, Pershing X, the payments venture with digital payments, especially in terms of -- these are definitely long-term investments and trajectories. But maybe if you can sort of think -- or sort of telegraph what you think might be the contribution this year or just outline what you think might be a reasonable organic growth rate -- revenue growth rate for this year?
Robin Vince: So, look, we've talked about the fact that these are medium-term initiatives, and they are. The contribution to revenues today from real-time payments is really small. But we do see this as rails of the future, and we see it as creating an opportunity for a connected set of services; think of fraud prevention and account validation and bill pay-related things. So, there's an ecosystem that builds around the actual capability. And we think that that's a significant opportunity for us. You've seen some announcements that we've made. But if I tick through very briefly, and I will try to be quick about it, but through each of our businesses. Look, in Pershing, we've had a strong year of net new asset growth. We talked about it in my prepared remarks. And we think that we'll have growth in the near-term through onboarding the pipeline, and then we've got the medium play of Pershing X. In Asset Servicing, we've been growing sales. And at the same time, we're leaning into the future with things like digital assets, and we're focusing on the expense base as well. So, again, it's something for the near term and for the medium term. In Markets, we're driving with foreign exchange and liquidity and securities lending, and then for the medium term, execution services and new products. In CCM, we expect the evolution that will come from the gradual decant of repo into tri-party, which we think we're well positioned for. In Treasury Services, we're picking up cross-border activity in terms of U.S. dollar clearing and we're playing for the longer term that I talked about with real-time payments. And so, across so many of our businesses, we've got opportunities in the near term, we're focused on executing them, and we're investing for later.
Brian Bedell: That's great color. Thank you very much.
Operator: Our next question comes from Rob Wildhack. Your line is open. Please go ahead.
Rob Wildhack: Good morning, guys. I appreciate the color on deposits for 2023. I wanted to ask a little bit more about what you saw in the quarter. Interest-bearing deposits flipped to growth. Wondering what the drivers are there. And on the noninterest-bearing side, that outflow accelerated quarter-over-quarter. So, any more color on either of those would be great. Thanks.
Emily Portney: So, deposit balances overall for the quarter were down very modestly as you can see. And most of that was a runoff in non-operational, but NIBs did and still are remaining at elevated levels. So just for what it's worth when we're talking about the trajectory for deposits in 2023, as I said before, we would expect average deposits to decline very modestly, call it, low single digit from fourth quarter averages. And you should expect and we are expecting the large majority of that to be from NIBs because they will probably revert back to about 20%, 25% of our total deposit balances as we've really seen in historical average.
Rob Wildhack: Okay, thanks. And then, Robin, you highlighted healthy growth in Asset Servicing as a priority for this year. That's a business that's well established, sometimes can be more difficult to differentiate. So, what are the kinds of things you can do and you want to do to accelerate growth there?
Robin Vince: Well, I'm going to start off on this one, but then I'm going to give it over to Emily because she is going in to run that business and knows it pretty well already from her prior time. But I think there are a variety of different opportunities for us. I mentioned in my prepared remarks that we're really elevating the conversation more into the C-suite of some of these firms, because gone really are the days where we're selling a small component of a service on an isolated basis, we see more opportunities to sell bundled deals with data and digital capabilities, all wrapped up in it. And that we see -- we are getting traction from that. We had a very significant new client that we announced earlier on in the year -- or last year, that is a good example of that type of package sale. So that's one thing. We also have the bottom-line focus. I want to continue to point you at the comments that we've made before that the margin in that business is not acceptable and that we will continue to invest both in the top-line, we'll benefit some from rates, and investing in making the cost of execution cheaper and more efficient in that business. So, it's really a package of all of the things. I don't know, Emily, if you want to add.
Emily Portney: Yes, just a few things to add. So, as Robin alluded to in his prepared remarks, I mean, we are winning larger and higher-value deals, but we're also very focused on the profitability of the mandate and the relationship overall. And so that also means we're being more selective even in the RFPs that we participate in. Likewise, we're leaning into higher-growth areas like Alts and ETFs. 20% of the wins that we have seen or -- had a data component, and data is very critical, especially, in the forward trajectory to our clients. And I would say our pipeline is very strong. And the other thing, of course, as Robin mentioned, is we are very, very focused on driving the cost down across the Securities Services segment, inclusive of Asset Servicing for those businesses, which remain pretty manually intensive, so think Transfer Agency, think Fund Accounting. So, there's opportunity there for sure.
Rob Wildhack: Thank you very much.
Operator: Our next question comes from Steven Chubak. Your line is open. Please go ahead.
Steven Chubak: Hey, good morning.
Robin Vince: Good morning, Steven.
Emily Portney: Good morning.
Steven Chubak: So, Emily, I'm going to ask the question I had asked you 12 months ago, roughly, on the earnings call about Basel IV. We still don't have a proposal, but we know something is coming in early '23. And given his speech had hinted at capital requirements moving higher for the G-SIB cohort, recognizing there is still no proposal, but I was hoping you could just speak to how you're scenario planning for the finalization of Basel III? Whether that has any influence on the potential cadence of future buybacks or just capital management, more broadly? How you see that potentially evolving?
Emily Portney: Sure. So, look, we're obviously very involved with regulators in the industry around the conversations around Basel IV. It's true, of course, the introduction of operating or operational risk RWA into the standardized approach would, by itself, drive an increase in our standardized RWAs. When we crunch the numbers, our calcs suggest something a bit less than probably what you've seen for the GSIBs aggregate in the QIS. And there are also -- we do also expect there are going to be some offset for us. So, lower credit risk RWAs and also, we'll probably benefit modestly from the more risk-sensitive market -- the market -- the more risk-sensitive, excuse me, market framework. So, they'll be puts and takes. We'll have to wait, really, until the regulators release their proposed version. And we already -- and we do obviously -- for us, we're always looking at RWA optimization. You can actually see that RWAs came down in the quarter, again from optimization that we have been ongoing, that's ongoing and we've been doing. And I would just remind you, too, that the industry will have time to leg into whatever the results end up being.
Steven Chubak: Fair enough. And just for my follow-up on expenses. I was hoping you can help us reconcile what the expense guidance for '23 implies for both the op margin and dollars of expense as it relates to the Securities Services segment specifically? It feels like that's the area where there's still some of the most low-hanging fruit, if you will, to drive efficiency gains. And just given the planned efficiency actions, how should we think about that second derivative for expense growth? Should we expect that to steadily improve over the course of the year, where you implement the plan, you start to realize some of the benefits, and the exit rate on expenses, therefore, in '23 should reflect a lower level of expense growth relative to the other quarters?
Emily Portney: So, I'll kind of answer that more focused on margin for Securities Services because that's really what we've been talking about and a very critical KPI for us. So -- and I think Robin already said, we are very committed to a 30%-plus margin over the medium term. You'll see we printed in the fourth quarter, margin of about 27%, for the full year that was closer to 21%. In 2023, we will benefit somewhat from NIR. So, higher rates will be partially offset perhaps by a modest decline in NIBs. Also, we are absolutely extraordinarily focused on executing against the revenue growth as well as the efficiency initiatives that we have been talking about. When you think about Securities Services though, I'd also just mention, there's going to be some nonrecurring activity that we enjoyed in 2022 that we won't have in 2023 in Issuer Services in particular. So, kind of net-net, putting it all together, when you look at the margins for Securities Services overall, they're going to be lower than what we printed in Q4, but certainly higher than the full year level. So, we're making progress.
Steven Chubak: And just the expense growth, on a firm wide basis, whether the exit rate for '23 should reflect some of those additional efficiency benefits that you had cited? I'm just trying to think about the cadence for how we should think about the expense trajectory over the course of the year.
Emily Portney: Yes. So, I'm not going to kind of give too much detail on what we expect quarter-on-quarter. I mean, the only thing I would say just and all of you guys know this is that for the first quarter, staff expenses are typically a bit higher due to long-term incentive comp associated with retirement-eligible employees. And of course, the actions we're taking, they're front-loaded, but you'll see that over the course of the year. So, I think, I would just go back to, we are absolutely bending the cost curve. We are expecting to deliver and are very committed to deliver year-on-year growth of about 4%, 4.5% constant currency, and again, that compares to 8% in 2022.
Steven Chubak : Helpful color, Emily. Thanks for taking my questions.
Operator: Our next question comes from Mike Mayo. Your line is open. Please, go ahead.
Mike Mayo: Hi. Can you hear me?
Robin Vince: Hey, Mike, how are you?
Mike Mayo: Good. Robin, I think you inherited a tough hand here. So, I mean, BNY Mellon historically has had periods when they do a better job controlling expenses, but that typically coincides with periods of slower top-line growth, but you're starting off here, fees were down 3% last year. Looks like your guide for NII implies that's flat with the fourth quarter. So, it's not so much, okay, revenues are slow, you can control expenses so much they've already slowed or they're about to. So, it just seems like your efficiency savings are going to be tougher. And as part of that, this predates you, Robin, but when it comes to notable items or one-time items, you had some this quarter, but if you look over a decade, your notable items add up to $3.5 billion. That's almost a year's worth of earnings. So, the real question here is how can you improve your profit margin and your efficiency ratio and squeeze more out of BNY Mellon when the revenue environment has been tough and you have inflationary pressures? I guess, how confident are you to turn this around in terms of the positive operating leverage on a core basis?
Robin Vince: So, Mike, without reflecting on the past in terms of what people have done and how they've done it, I'll just say that we acknowledge that the past decade has been disappointing in terms of our company's broad financial performance. You can look at some spots on the top-line, the bottom-line, expenses, we pick your spot, but we're not comfortable with the broad performance of the company over the past decade. And that's how we've talked to our Board about it, that's how we talk to our employees about it, and we're determined to change that. And so, you're hearing from us, I think, I hope, a determination around changing that outcome. Now to your question, let me take the two parts of the things that you've really talked about. So, first of all, the notable items. And so, we are very, very clear, and we do this in our earnings release and we do it in our prepared remarks, we talk GAAP first. So, you can see the reported numbers and it's very clear and you can judge us on that. But we also want to give you the transparency, and frankly, the insight into the way that we're running the company under the hood. And we think that's why that additional element of disclosure is helpful, but you'll make your judgment based on that transparency and the insights that we're trying to provide. Now, I own that 4% to 4.5% number, 4%, if use the exit rate of currency, 4.5% on a constant currency basis, and that's essentially half of what it was in 2022. And the environment, from an inflation point of view, isn't expected to get any better. We had inflation over the course of the past few months, CPI between 6%-and-change and 9%-and-change, we've still got that environment. But we've been very deliberate in terms of staffing, choices of things that we're going to do, choices of how we're going to do it. I talked in my prepared remarks about a variety of -- involving our employees in bending the cost curve, because I think it's a cultural thing for us as well. We're attacking it on all of those fronts. Now, once we've done all of those things to the implied question of what do we think the future holds, well, we don't want to stop there. We don't have line of sight to all of the things that we're going to do in the future, but we see opportunities. For instance, I'm just going to pick one and then I'll finish, which is on technology. We've invested a ton rightly so in resiliency as a company. Resiliency is incredibly important to our products and services. It's wrapped up in our brand, and we wanted to make sure that we really took ourselves to a better place than where we were five years ago. But now we've largely done that. It's a continuous journey. We always have to do stuff. But the next leg for us is investing in things like the applications, the digitization of our footprint. We're the world's largest custodian, but we've got more than one custody system. We've got multiple loan systems. We've got five different call centers, and so we're going in and seeing all of these opportunities. And then, over time, we'll do the work to resolve the issues. But we can't do it all at once, because otherwise, we'd spike on the expense base in order to solve the problems, and we only have finite bandwidth. So, we're working through it and we'll continue to work through it.
Mike Mayo: Yes, that would be great if you can share more of those metrics over time and how -- what your targets are. The other part of that is your -- you said you have four growth initiatives. You did mention digital assets and -- post the recent debacle. Can you put any concrete metrics or put more meat on the bones as far as where you'd like to eventually get to, or revenues, or what's the endgame, just something more on this whole? It's one of your four key growth initiatives. Just a little bit more color?
Robin Vince: Sure. So, I just want to make one comment about the four things that I mentioned and that you're quoting. Those aren't the only growth initiatives in the company. I pick them out because I think they're good and representative examples, but -- and they're different things, and they have different timelines associated with them as well. But there are other things that I haven't mentioned, at least haven't given great as much prominence to, but that could be very interesting to us over time. But specifically for digital assets, it's the longest-term play out of any of the things that we talked about. I expect it to be negligible from a revenue point of view over the course of the next couple of years, it might be negligible for the next five years. But as the world's largest custodian, we are in the business of looking after stuff. We look after $44 trillion worth of stuff. And if there's going to be new stuff to look after, we should be in the business of looking after it. If the way in which we look after stuff, which is the point about the technology changes, we have to adapt to that. And so, we're investing for a future that probably will come to be, but it may not. But if it does come to be, we have to be there. It would be like being the custodian of 50 years ago and sticking with paper and not adopting a computer. That's not going to be us. So, we're investing. We're being cautious. We're being deliberate. And we've got R&D in different parts of the company, and it's measured. But we do think it's important for us to participate in the broader digital asset space.
Mike Mayo: Great. Thank you.
Robin Vince: Thank you.
Operator: Our next question comes from Gerard Cassidy. Your line is open. Please, go ahead.
Gerard Cassidy: Hi, Emily. Hi, Robin. Emily, on the noninterest-bearing deposits, you mentioned how they are a little higher than normal. I think you said 27% of total deposits, but you do expect them -- I think you said to drop to more normal levels, 20% to 25%. What's keeping them up so high? And second, could they remain maybe higher for longer this year? Or do you see some real trends that, no, they're definitely going to get back to normal?
Emily Portney: Great question. And frankly, there is a lot of uncertainty around that. So, look, more generally, as it relates to NIBs, I think -- we think it's -- they're high. They're probably elevated because of certainly some risk-off behavior. The other thing though that I'd really mention is that we've gotten a lot more sophisticated too in just how we manage our deposits and the tools with which we manage our deposits. So, I think there's something to that also as well. We do expect the NIBs to revert to about 20% to 25%, but you're right, I mean, to the extent they remain elevated, that is going to be very helpful and we will have upside to our NIR projection. And look, the only other thing I'd mention is that we've seen significant growth in, for example, Asset Servicing, Corporate Trust, et cetera, which actually those businesses attract NIBs.
Gerard Cassidy: Very good. We all know that, obviously, your bank is a fee-based bank, it is not a bank that any of us are concerned about credit quality, but I would just like to get your guys' thoughts. And you had a small provision increase, again, nothing material. And again, I emphasize nobody is really concerned about Bank of New York's credit quality. But with the expectation of a soft recession or a slowdown, whatever you want to call it, are you guys seeing any trends in the loan book that you're just watching maybe a little more closely today than 12 months ago?
Emily Portney: So, just as a reminder, and I think you've already alluded to it, the quality of our portfolio remains very high. So, weighted average rating is AA minus. Investment grade is over 90%. NPLs and delinquencies are stable. The only area that, of course, we're monitoring very closely is the CRE portion of the portfolio and the office segment, in particular. At the moment, occupancy and rent collections remain high, but it is an area that we're paying closer attention to.
Gerard Cassidy: And what percentage of that the CRE of the loan book is that about, Emily?
Emily Portney: It's about 9% of the funded loans.
Gerard Cassidy: Great. Thank you.
Operator: Our next question comes from Ken Usdin. Your line is open. Please, go ahead.
Ken Usdin: Hi. Thanks. Good morning. Robin, I know you talked earlier just about the general view for fees to increase and some thoughts on Asset Servicing. Just wondering if you have a view on just what you think organic growth can look like? And also, it's nice to also see some of the movement in the fourth quarter in specifically in Pershing and Collateral Management. Just wondering if you have a thumb nail on what the outlook for those two areas is as well. Thank you.
Robin Vince: Sure. So, from an overall fees point of view, we are focused on this internal growth. Forgetting about M&A or any of those other ways to grow, just the blocking and tackling and execution of what we think we can do in the company over the course of the year. We haven't given fee guidance because of the reasons that Emily alluded to, which is there are just so many things going on in the market. There are just too many puts and takes for that to be credible for us so that we are -- but we, of course, have our internal budget, and that's what we've been working through over the course of time. Look, you called out two businesses and those are businesses where we both -- where we think those are bright spots for growth. And so, we expect those to be above the average growth of the company. They're not the only ones that would be above the average, but they are two that would be, and we feel quite good about the prospects for a variety of the different underlying reasons that we've talked about already.
Ken Usdin: Okay. Very good. And then, just one quick one in terms of that follow-up on the balance sheet mix. Emily, is there anything changing with regards to how you think about the mix of securities that you add from here in terms of as we get towards the peak of the rate cycle, whether you start thinking about putting on more fixed rate versus the floating type, and what that means for the types of yields that you're able to get on your kind of front book investments?
Emily Portney: Sure. So, there's a lot in there. So, look, we've been very nimble and continue to be very nimble in terms of managing our portfolio. Bottom-line right now, we're positioned to benefit from higher rates, but I just call everyone's attention to the fact that the duration of our portfolio is the shortest it's been in recent memory, and more than 60% of the portfolio is in available-for-sale. So, we've really retained a lot of flexibility, and we can act very swiftly should the environment ultimately change. And as it relates to reinvestment yields, I guess it was in the second quarter, I believe, in 2022 that reinvestment rates began to exceed roll-off rates. The difference between the two has steadily expanded to about 250 basis points in the second quarter. And when you just think about how much of the portfolio resets at any moment in time, about 40%, as I said, of the securities, or you can see it, 40% of the securities portfolio is floating rate assets. And the duration of the fixed asset securities is about three years. So, you can kind of do the math there.
Ken Usdin: That’s great. Thanks, Emily.
Operator: And our final question will come from Michael Brown. Your line is open. Please, go ahead.
Michael Brown: Great. Thank you for taking my questions. Most of them have been answered. But…
Robin Vince: Hi, Mike.
Michael Brown: Yes, hi, Robin. Hi, Emily. I guess, my question was kind of as we think about further out into 2023, and so, the market is assuming some rate cuts could occur before year-end. As we get -- if we get to that point, what is your view on how deposit pricing performs there, right? Because if your deposit betas were generally higher than the broader banking system on the way up, how do we think about it to the point where we start to see some early rate cuts? Because I guess in that backdrop, it's not an expectation that we're heading back to where we were, just some modest rate cuts. So, how do you think about the deposit pricing in that environment?
Emily Portney: Sure. I'll take that. So, we do expect deposit pricing to perform similarly on the way down as it did on the way up. So, we'll get the benefit, of course, because our -- we will get the benefit should rates suddenly start to come down of deposit costs also coming down very quickly. And likewise, I'll just remind you that to the extent that rates start to come down, then AOCI will pull to par faster.
Michael Brown: Okay. Great. Thank you for that. And then, just one more on NII. Appreciate the full year annual guidance. As you look at the fourth quarter, it was up about 14% sequentially. Within the annual guidance, any view on how we should think about the first quarter? I know it's a moving target, but any range here just to help us think about the trajectory.
Emily Portney: Yes. As I mentioned, the range of outcomes is very wide. So, it's really hard to predict the trajectory in any given quarter. It really is very dependent, probably most specifically on the deposit trajectory. And like I said, if NIBs remain elevated, there's upside there.
Michael Brown : Okay. Great. Thank you for taking my questions.
Operator: And with that, that does conclude our question-and-answer session for today. I would like to hand the call back over to Robin for any additional or closing remarks.
Robin Vince: Thank you, operator. I'd like to close today's call by thanking Emily for her time as our CFO and to congratulate her on taking up her new role, starting February 1 as the CEO of Asset Servicing, which as you know, is our largest business. Emily brings a set of experiences and relationships to this role that are going to be invaluable in driving profitable growth of our client franchise. And finally, I'd like to welcome Dermot McDonough, our next CFO, to the BNY Mellon team. He joined us in November, and he's hit the ground running. I know that you are all looking forward to his first earnings call with him in April. So, with that, I'd like to thank you for your interest in BNY Mellon. And if you have any follow-up questions, please reach out to Marius and the IR team. Be well.
Emily Portney: Thank you.
Operator: Thank you. This does conclude today's conference and webcast. A replay of this conference call and webcast will be available on the BNY Mellon Investor Relations website at 02:00 p.m. Eastern Standard Time today. Have a great day.